Operator: Good morning, everyone, and welcome to TriState Capital Holdings’ Conference Call to discuss the financial results for the fourth quarter and year ended December 31, 2015. All participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded. Before turning the call over to management, I would like to remind everyone that today’s call may contain forward-looking statements related to TriState Capital that may generally be identified as describing the company’s future plans, objectives, or goals. Such forward-looking statements are subject to risks and uncertainties that could cause actual results or outcomes to differ materially from those currently anticipated. These forward-looking statements are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. For further information about the factors that could affect TriState Capital’s future results, please see the company’s most recent annual and quarterly reports filed on Forms 10-K and 10-Q. You should keep in mind that any forward-looking statements made by TriState Capital speak only as of the date on which they were made. New risks and uncertainties come up from time-to-time and management cannot predict these events or how they will affect the company. TriState Capital has no duty to and does not intend to update or revise forward-looking statements after the date on which they are made. To the extent non-GAAP financial measures are discussed in this call, comparable GAAP measures and reconciliations can be found in TriState Capital’s earnings release, which is available on its website at tristatecapitalbank.com. Representing TriState Capital today is Jim Getz, Chairman, President and Chief Executive Officer. Jim will be joined by Mark Sullivan, Vice Chairman and Chief Financial Officer for the question-and-answer session. At this time, I would like to turn the conference over to Mr. Getz.
James Getz: Good morning and thank you for joining us today. We’re very pleased with the superior financial performance our company delivered in 2015 resulting in earnings per share growth of some 45%. Our record net income of nearly $23 million in 2015 was supported by meaningful contribution from all of our business lines, investment management, private banking and commercial banking. Compared to one year prior, we’ve delivered growth in loans of 18%, growth and deposits of 15%, growth in net interest income of 3%, growth and assets under management of 4%, growth in non-interest income of 13% and growth in total revenue of 8%. Our performance since 2011 is equally compelling with strong compound annual growth rates of some 33% for net income compared to other $1 billion to $5 billion banks of 20%. 25% for earnings per share over the past five years, 9% for net interest income compared to 6% of other $1 billion to $5 billion banks, 93% for non-interest income and 8% for other $1 billion to $5 billion banks, 20% for total revenue and compared to 6% for what other $1billion to $5 billion banks. As you can observe very much at the top line and bottom line orientation, in our view TriState Capital’s balance sheet and income statement had never been stronger. We believe these results are a direct result of disciplined execution of our strategy for growing earnings and shareholder value for the long term. We self generate access capital complimenting our proven ability to efficiently access the capital markets when necessary to support the profitable, organic and inorganic expansion of the company. This of course includes last fund’s agreement to purchase The Killen Group, the second investment management acquisition we have announced in the last two years. We are rapidly growing our low capital incentive sources of revenue. In 2015, private banking and investment management together represented about 50% of our total revenue. This of course does not include the meaningful contribution anticipated for the pending Killen Group acquisition. We are expanding the balance sheet in support of our ongoing goal of achieving long term, compound annual growth of 15% in order to drive increasing net interest income dollars and earnings per share. Our emphasis on quality credit metrics resulted in a meaningful reduction in non-performing and classified loans in all four quarters of 2015. In addition, we have laid a solid foundation for future growth in relationship focussed middle market commercial lending. In 2016, we expect positive improvement growth in our commercial real estate and commercial and industrial loan portfolios. We are continuing to maintain a highly asset sensitive balance sheet designed to profit from increasing interest rates. We are continuing to expand our low cost deposit franchise in line with asset growth. We are investing in people and technology and using all channels to build relationships with clients who benefit from placing treasury management and deposit products with us. And we are using our scalable branchless business model and extending [ph] our financial services distribution network to facilitate the cost effective growth of our private banking business as well as commercial banking and investment management. Returning to our financial results, 2015 net income was $22.9 million or $0.81 per share excluding fourth quarter expenses related to the Killen transaction. Together, our banking and investment management business has generated more than $103 million in revenue last year, an increase of 8% from 2014. Non-interest income including Chartwell investment management fees totalled nearly $36 million last year, representing 35% of total company revenue compared to an average of about 28% for $1 billion to $5 billion asset commercial banks. Net interest income increased by 3% to nearly $68 million in 2015, driven by superior private bank loan growth and healthy expansion of middle market commercial lending. We are particularly proud that inspite of the near zero interest rate environment we’ve continued to achieve significant earnings growth. While more mature banks have relied on cost cuts to boost profitability, we continue to grow earnings through strong and disciplined expansion of our business. At the bank, robust but disciplined loan growth is producing net interest income that continues to outpace margin compression. We continue to grow net interest income while maintaining floating rate loans at approximately 85% of our portfolio, for what we believe is one of the more highly asset-sensitive balance sheets in banking as well as enhancing our credit profile. During the third quarter, total loans grew by 6.8%. For the full year total loans grew by 18.4%. Now let’s take a look at the loan portfolio. We had a loan balance of some $2.4 billion at the end of 2014. In 2015 we originated some $858 million of loans. We had loan pay-offs of $406 million and we have lines of credit paid down of some $11 million. So a change in our net loan balance of $441 million giving us a loan balance at the end of the year of some $2.8 billion. Our commercial and industrial loans were down some 6%, commercial real estate was up 18%, and private banking was up some 36%. We continue to make very good progress in our direct, commercial and industrial lending. Commercial and industrial lends increased by some 3.5% in 2015 when we exclude the 67.1 million of private equity sponsored share national credits that we managed down over the same period. Commercial banking overall continues to grow in a controlled and disciplined manner. We believe we have significant client development potential in our current markets including but not limited to those where banking industry consolidation offers us additional new business and strategic hiring opportunities. Private bank lending now represents more than 47% of total loans compared with 41% at the end of 2014 and less than 30% at the time of our 2013 IPO. These loans continue to be sourced primarily through our growing network of financial intermediaries, which now number 119 firms nationwide. These firms give us access to approximately 50,200 individual financial advisors. Today, our $1.3 billion of private bank lending consist of 2,450 loans with approximately 1050 of those advisors. In 2015, we booked over a 1000 new loans and in just the first few weeks of 2016 we have booked approximately 55 new loans. These penetration statistics illustrate the tremendous potential we have just from extending our relationships within our own growing referral network. We view this penetration information as one of our ongoing internal performance measures. These results also form the basis for our decision to invest in inside sales professionals to provide efficient and scalable sales support to our private bankers. As a reminder, most of our private banking loans are backed by well diversified liquid securities that we price and monitor daily through our proprietary technology. We have never experienced a loss of a private banking loan backed by marketable securities including the periods of higher volatility such as August of 2015 and the opening weeks of this year. Since our inception, TriState Capitals non-performing assets have also remained well below the average for commercial banks with assets $1 billion to $5 billion. Our banks non-performance peaked at just 1.2% of total assets in mid 2014. At the end of 2015, they were at a low of 56 basis points. This improvement came even as we grew assets by more than 80% since 2011. Adverse rating credits declined by nearly 20% during 2015, representing just 1.9% of total loans at year end. We’ve reduced adverse trends as a percentage of loans by 250 basis points since 2011 even as we’ve doubled total loans of the same period. Provision expense for the fourth quarter came in at 244,000 reflecting a very significant loan growth as well as the lower credit risk profile private bank lending, which is approaching 50% of our total loan portfolio. Our true profitability is a function of our credit profile, so we view earnings per share growth as the critical benchmark of our success. Moving on to funding, TriState Capital Bank increased average deposit balances by more than 15% last year. Time deposits represent 36% of total average deposits in 2015. The weighted average maturity for all fixed rate time deposits was 264 days at the end of the 2015 compared to 186 days one year prior. Time deposits with maturities of 12 months or more increased to 31% of total time deposits at December 31 from just 14% at the end of 2014. At 0.53% our fourth quarter average cost of deposits increased just two basis points from the third quarter, with growth in net interest income dollars continuing to outpace margin compression. We remained excited by the prospects and opportunities we’re building in our deposit franchise. We’ve recently invested in the addition of talent to our treasury management, financial institutions and family office deposit efforts and we expect these very talented professionals to not only grow our deposit levels, but enhance cost management. Moving on to our investment management business, Chartwell booked nearly $30 million in fee income at a weighted average fee of 37 basis points in 2015. Chartwell fees represented 29% of total revenue and investment management contributed more than 19% to TriState Capital’s consolidated earnings. Looking ahead, we believe our Killen Group acquisition can push investment management fees to nearly 40% of the annual revenues and boost Chartwell’s weighted average rate. We continue to anticipate completing the Killen transaction in the second quarter of 2016 and in the meantime we’re very pleased with the collaboration and progress we’re making to be prepared for a smooth transition and integration in to Chartwell. Since we signed our agreement with Killen last month, we had even more time to get to know their exceptional investment managers and other professionals and we’re even more excited to that what we can achieve together. With the Berwyn Income Fund, Killen’s conservative allocation strategy, Chartwell takes a major step toward having products for all seasons. The funds ability to outperform its benchmarks and the market in the early weeks of 2016 demonstrates why our people are so anxious to offer this strategy declines and financial intermediaries. Year-to-date through Wednesday's close, the Berwyn Income Fund was down just 1.17% or the S&P 500 decline by more than 7.78% since the beginning of 2016. As I mentioned when we announce the deal in December one of the biggest strategic benefits for Killen transaction is the distribution opportunity. With Chartwell’s retail channel marketing, we believe we have significant potential to attract new client assets and accounts to Killen’s proven investment products notably the Berwyn Income Fund. Chartwell’s distribution capabilities were in full display in 2015, attracting nearly $1 billion of new business and new flows from existing accounts last year. Net inflows more than $0.5 billion, more than offset market depreciation last year and Chartwell’s assets under management grew from $7.7 billion to $8 billion in 2015. Chartwell is also starting 2016 in a very strong position. From a new business standpoint with about $500 million in new business and new flows currently in the pipeline for just the first quarter. As many of you on this call are acutely aware the steep decline in the major U.S. stock market index is since the beginning of the year will make January growth and assets under management a challenge for any money manager. Of course, we can’t control the market. What Chartwell can do is enhance its products to offer investment strategies for all seasons including the one the markets are now and doing, while delivering highly credible performance against benchmarks. As of December 31, six of Chartwell’s and 12 investment disciplines beat their benchmarks on one year performance. Seven beat their benchmarks on three year and 11 of 12 beat their benchmarks on five years. In all, we’re very pleased with the strong and profitable growth TriState Capital delivered, not only the last quarter -- the last 12 months, but in consistent fashion over the last five years. Our opportunities for continued organic growth in private banking and middle market commercial banking as well as the continued expansion of our investment management business both organically and inorganically remained very compelling in 2016 and beyond. At the same time, we continue to believe that the market is significantly under valuing, TriState Capital shares particularly during the recent volatility that it hit financial stocks especially hard. Reflecting our commitment to return value to stockholders, the Board of Directors this week approved share repurchase agreement of up to $10 million, authorizing repurchase of up to 1 million of our shares of common stock or up to 3.6% of common shares outstanding. We will be opportunistic in the weeks and months ahead particularly if the stock continues to trade at pricing comparable to recent levels. That concludes my prepared remarks. And I’ll now ask Mark Sullivan, our Vice Chairman, CFO to join me for Q&A. Operator, please open the lines for questions.
Operator: We will now begin the question and answer session. [Operator Instructions]. The first question comes from Matt Olney of Stephens. Please go ahead.
Matt Olney: Thank you. Good morning.
James Getz: Good morning, Matt.
Matt Olney: Jim, I want to start on the private bank loan segments, obviously similar nice growth in the fourth quarter. But given the volatility and a sell off for the global market, I’m curious if there’s update you can give us on the average LTV in that private bank loan segment? And within that as far as the borrowers were there any covenant issues more recently with the sale off, and if so we must have that resolution process works?
James Getz: Let me give you a few observations. So in the LTV, we’re pretty much in line with what we’ve indicated before of 60%. During January of 2016, these past few weeks 31 or approximately 1.5% of our marketable securities collateral lines loans had a market value decline that required the implementation of a pure process. Our private banking team members work with the respective financial advisors and clients in each of these lines and this is important, each of these lines was cured with respect to our required loaned values. Again, we found our lending programs cure process work very much within the ordinary course of business, the margin lending both for us and for the advising the clients and I remind you that in August we had 13 loans that we had to excess the cure and of course this was more than double, but in no case if we lose any money that people came forward with additional collateral or opted to sell off some of the securities. So, it was really pretty straightforward and we were very pleased by the controls and the success of the controls we put in place here.
Matt Olney: Okay. Thanks, Jim. That’s helpful. And then on the C&I loan side, I think C&I loans has been a headwind for growth over last year or so, it sounds like in the prepared remarks you think that C&I loan balance will see some positive growth in 2016. Did I hear that correctly?
James Getz: You did. Now keep in mind the headwind was by design and it was purging of the private equity shared national credits that cause that number to go down handily and that’s why I gave a little more detail showing we had essentially removed about $67 million of private equity relate shared national credits out of the portfolio last year and that’s what really drove the minus 6%. We feel very comfortable concentrating on direct C&I business, its ourselves and our client and also any club deals with local banks, local companies that moving forward in the New Year. I think you’re going to see within the next quarter very much of the beginnings of growth in that particular number since we’ve – if you remember we had these private equity shared national credits as much as $225 million as of January 2014 and we’ve essentially purged most of them out of the entire loan portfolio.
Matt Olney: Okay. Thank you and congrats on the quarter.
James Getz: Thank you.
Operator: The next question comes from Michael Perito of KBW. Please go ahead.
Michael Perito: Hey, Jim, Mark. Good morning.
James Getz: Good morning.
Michael Perito: Jim, maybe asking the question little bit different on the private banking growth and kind of the impact from the market sell down. Do you guys expect any impact on and obviously appreciating the comments on the penetration you guys still have to achieve, but any impact on demand kind of just as clients have maybe reconsider borrowing against securities as the market continues to kind of decrease here.
James Getz: Well, keep in mind, we’ve all been in a whirlwind ride in the first three weeks of the year, and keep in mind, during those first three weeks of the year we put on some 55 new loans and if you take a clear look at what we did last year, I think I mentioned that it was about 1000 loans. We’re off to even a stronger start in a more volatile market. And then also keep in mind that we have in fact during this period of time further protected our distribution model. So, we in fully anticipate have an stronger year this year whatever the market environment presents itself.
Michael Perito: Okay. And then, on Chartwell, so I mean, it sounds like that the new business flow is good to start here, I think you said, it was $500 million, but do you maybe have an update on where kind of the AUM stands in the first month of the year here, maybe taking into account the impact of market depreciation?
James Getz: I think what you’re going to find is that for most part the new flows coming in will offset the deterioration, because $500 million of new, real new business that actually was book during the fourth quarter of last year, but takes some time to convert over. We expect that to be coming in the quarter, so we don’t expect that much of deterioration plus on top of that at some point in April we’re going to be converting over the money from the folks at Killen and keep in mind, the majority of those assets are in the Berwyn in the income fund that’s going to be coming over and that fund has been that impacted by the market because the investment strategy that they have there and we’re looking forward to being able to distribute that out our clients in these challenging type markets so that they can take advantage of it.
Michael Perito: So -- and the Killen Group still about $2.4 billion or 2.5 billion in AUM as it stands today more or less?
Mark Sullivan: I would say a little bit lower than that, they had mandate that they had lost that they had for few years. The portfolio there is about $150 million, so I think we’re looking more around the range of $2.1 billion, $2.2 billion.
Michael Perito: Okay. Perfect. Thank you.
Operator: The next question comes from Bryce W. Rowe of Baird. Please go ahead.
Bryce Rowe: Thank you. Good morning.
James Getz: Good morning, Bryce.
Bryce Rowe: Jim, I was curious if you could get to the charge off in the quarter, obviously saw the adverse rated credits come down. I assume that the charge-off helped, eliminate a portion of those adverse credits?
James Getz: Yes. It was a loan, a company, a local company in our marketplace of that focused on building rates. And it had been a non-performer for quite some time and a sub-standard credit and we determine that it was prudent to charge some of it off. Some of it is still on the portfolio today. We in reality expect to make some recovery here over the reminder of this year from that particular -- from that particular loan. So, we felt that it was prudent to charge it off. So it wasn’t something that all of a sudden happened.
Bryce Rowe: Okay. That’s great. And wanted to, Mark, also ask about the other income line within the income statement, obviously a jump here from the third quarter. Was that largely tied to the swap fee lines?
Mark Sullivan: Bryce, good morning. That clearly contributed to it. But when you look at all the categories that are in that other non-interest income line, you’ve got fully income, which is across the board everyone of those increased, but the largest increase wasn’t swap fee income. You are right.
Bryce Rowe: Okay. Then one more question if I could, Mark. The short-term borrowings jumped up a little bit. Just curious if you could speak to the use of those borrowings here in the quarter and then going forward, what’s a good kind of run rate level to think about for that part of the liability structure?
Mark Sullivan: I think the borrowings are FHLB and we are probably somewhere around between 30% and 40% of the line -- available line usage and it will go up and down depending on the lumpiness of the deposit gathering on a weekly basis. But I think you see the range that you’ve seen in the second half of the year, somewhere in that $175 million to $225 million range, we would likely stay within that.
James Getz: If you look at that number and compare it to other $1 billion to $5 billion banks, it is right in line with that and what I should point out is that our loan portfolio grew at 18% and our deposits grew at 15%. So, we accessed it more. I believe at the end of the year it was around $220 million and if we sent you a statement a week or so later, it was meaningfully less than that.
Bryce Rowe: Great. Thank you.
Operator: The next question is from John Moran of Macquarie. Please go ahead.
John Moran: Hey, everybody. How’s it going?
James Getz: Good, John.
Mark Sullivan: Very well, John.
John Moran: Good. So, I just want to know how aggressive you will be on in terms of the share buyback. And just a quick follow-up on that, I will kind of not deter from any additional M&A and with kind of your M&A appetite? Thanks.
James Getz: David, this is Jim Getz speaking. I would take you back to October of 2014. We essentially announced exactly the same program that we just did and we were very nimble in purchasing the shares back. We completed the program. We bought back a million shares at a cost of $9.90. So it was very helpful to the company at that time. We anticipate doing exactly the same thing. We completed that in a relatively short period of time, but we were very satisfied with the end results. And unfortunately, all one has to do is to take a look at the tangible book value and the book value of this company and readily determine that it is time to do something like this.
John Moran: Okay. Awesome. And does that kind of deter you from any additional M&A, and how are you kind of thinking about it with The Killen Group right now?
James Getz: A, if you take a look at our capital ratios, they are very strong and they will be very strong after we make the payments to Killen, much of our growth both at Chartwell and private banking is not necessarily capital intensive. I would tell you we are most carefully looking at potentially a municipal bond manager to complement our business. It seems to us that’s the most obvious that’s missing, if we are cultivating high-net-worth individuals through financial intermediaries. So, we will keep that up. I can’t indicate to you that in fact we have something on the horizon now but we are in the marketplace and actively looking at it and seeing what’s available and what the costs happen to be.
John Moran: Thank you.
Operator: The next question is a follow-up from Michael Perito of KBW. Please go ahead.
Michael Perito: Thanks, guys. Couple quick follow-ups. Mark, maybe one for you. Just on the NIM, how are you guys thinking about the margin kind of in the first quarter this year after seeing the first months with the moving LIBOR and kind of the growth you are seeing and then the private banking segment it sounds like?
Mark Sullivan: Sure. When you look at what’s driven our increase in net interest income, it’s really a combination of rate volume and as you know, we’ve had significant volume increases and it’s been mitigated by lower rate because of net margin compression. In 2016, as the volume and it certainly would be tempered by loan mix, meaning the continued shift in our loan mix portfolio to lower risk, lower yield private banking loans. So, all in all, we were at 228 in the fourth quarter and we think compression is behind us and we should settle in that 230 range for 2016.
Michael Perito: Okay.
Mark Sullivan: I think Mike, what you want to keep in mind is that we built this company and brought it to where it is today in a declining rate environment. A rising rate environment is going to make our life a lot easier than it’s been over the past nine years. So it’s something we are looking forward to.
Michael Perito: Yeah. And Jim, maybe that kind of leads into my follow-up for you, more about a big picture question. I mean, the growth in really all your lines of businesses have been pretty solid this past year. I think the profitability probably can still move up quite a bit and I guess when do you expect to really kind of see that ROA start to move up? Is that kind of a mid-year 2016 type event when you get The Killen Group on board and get that extra distribution growth and then hopefully a little margin pick up? Is that kind of how you guys are thinking about it?
James Getz: Mike, I would see that more in 2017. 2016, as Jim mentioned, we are increasing inside sales and investment and deposit and treasury talent and then Killen coming on board in midyear. By the time things kick in, I really think you will see 2017 is the year that you will see the northern increase in ROE and ROA.
Mark Sullivan: Mike, for us as we’ve stated before, the real focus of this company is on earnings per share and we believe strongly if you can take your earnings per share consistently year after year up 15%, 25%, the shareholder will be very satisfied. And over the past five years, we’ve grown EPS at a compound annual growth rate of 25.2% so. And saying what Mark did, it didn’t mean that our net wasn’t going to go up or EPS isn’t going to go up. But we are continuing to build this company with a focus on EPS.
Michael Perito: Got it. Thank you.
Operator: And next, we have another follow-up from Bryce Rowe of Baird. Please go ahead.
Bryce Rowe: Thanks. Just had one follow-up on the allowance, Jim and Mark. Wanted to get a feel for the capacity for further allowance leading, obviously with adverse-rated credits having come down you’ve seen and with the shift towards private banking, you’ve seen the allowance as a percentage of loans come down now at about 63 basis points. So looking forward, just curious if there is some additional room and where eventually do you see that allowance as a percentage of loans kind of bottoming out? Thanks.
Mark Sullivan: I think, again what you are seeing is a combination of the credit history and the shift in loan mix to the private banking and that should continue and similar decrease that we had going to 63 this year, I think that’s going to continue as the private banking continues to increase in the loan mix. So, I would suspect we will be in the 50s, low 50s as we go through 2016.
Bryce Rowe: Okay. Thank you.
Operator: There are no other questions at this time. This concludes our question-and-answer session. I would like to turn the conference back over to Jim Getz for closing remarks.
James Getz: Thank you very much for your continued interest in TriState Capital and your commitment to us. We look forward to keeping you up to date on our progress, and hosting our next quarterly call with you in April. Have a great day. Thank you very much.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.